Operator: Good morning. My name is Jamie, and I will be your conference operator today. As a reminder, this call is being recorded. At this time, I would like to welcome everyone to BrightView's Third Quarter Fiscal Year 2018 Earnings Conference Call. [Operator Instructions] 
 The earnings press release is available on the company's investor website at investors.brightview.com. Additionally, the online webcast includes the presentation slides that will be referenced as part of today's discussions and a downloadable copy is also available online. 
 Before we begin, I want to remind listeners that some of the comments made today, including responses to questions and information included in the presentation slides will be forward-looking and actual results may differ materially from those projected. Please refer to the company's recent SEC filings for more detail on the risks and uncertainties that could impact the company's future operating results and financial condition. Comments may also include a discussion of certain non-GAAP financial measures. Reconciliation to the most directly comparable GAAP financial measures and other associated disclosures are contained in the earnings release on the company's investor website. Disclaimers on forward-looking statements and non-GAAP financial measures apply both to the prepared remarks as well as the Q&A. 
 I will now turn the call over to BrightView's Chief Executive Officer, Andrew Masterman, who will provide an overview of the results and company's strategy. 
Andrew Masterman: Thank you, Jamie. Good morning, everyone, and thanks for joining us on our inaugural earnings call since our initial public offering on June 28. I am also joined by John Feenan, BrightView's Chief Financial Officer, and together, we will be discussing our third quarter fiscal year 2018 results. 
 John and I met many of you during the IPO process, and we look forward to continuing our dialogue with the investment community. We are excited to be operating as a public company and will strive to create long-term value for all our stakeholders, including our employees, communities and stockholders. 
 As you can see on Slide 4 of our earnings presentation, for the quarter, we reported a slight increase in revenue of 0.4% over the prior year period. $630.3 million represents the highest revenue generating quarter in the company's history. Within Maintenance Services, revenue increased by 2.9%, primarily driven by incremental revenue from acquisitions of $26.1 million, where organic growth was slightly down as gains from new business and improved pricing were more than offset by strategic decision to exit less profitable customers. 
 Development Services revenue declined 5.7% due to a tough comparison, given certain large projects in the prior year quarter. Excluding these large projects, Development Services revenue would have increased low double digits. Adjusted EBITDA for the quarter decreased 0.7% and the related margin was down 20 basis points compared to the prior year quarter. Maintenance Services saw a slight gain of 1% in adjusted EBITDA, while Development Services decreased 6% year-on-year, again, due to the impact of the large projects in the prior year quarter that I mentioned a moment ago.
 Turing to capital expenditures, we saw $9 million increase year-over-year for a year-to-date spend of $50 million, slightly down. We benefit from a low capital intensity business model and continue to expect modest annual capital expenditures of around 2.5% revenue. Adjusted free cash flow increased $35 million year-on-year, driven by improved cash from operations, as we benefited from strategic actions taken to improve network capital, primarily our continued focus on accounts receivable. 
 Turning to Slide 5. Let me provide a brief overview of our 2 segments, landscape maintenance and landscape development. Landscape maintenance is a recession-resistant, route-based business, which consists of 2 important service lines, commercial landscaping and snow removal. Commercial landscaping is a nondiscretionary service with a predictable recurring revenue model that includes a broad offering of ancillary services, such as tree care, irrigation and fertilization. In addition, snow removal is a counter-seasonal revenue stream that allows us to use our base of employees and assets year round.
 Our landscape development services provide landscape architecture and development services for new landscapes and large-scale redesign projects. This expands BrightView's customer base. And because of our recognized leadership position in the industry, we are able to work on a multitude of high-profile and complex projects. Many of the projects we complete convert into maintenance contracts, providing consistent recurring revenue. To sum it up, we're the leader in providing holistic solutions across all landscaping services. 
 Turning to Slide 6, I'd like to highlight the projects we're making on our key strategic initiatives. First, we are focused on growing wallet share with our existing customer base, which is supported by our infrastructure and technology in place. To date, we have repurposed over 750 account managers to focus on customer retention and expansion. Next, we remain focused on expanding our customer base, including a focus on large accounts through dedicated regional account managers. Our 125-person business development team is focused on attracting and securing new customers. Third, we're committed to our proven strong-on-strong M&A strategy by continuing to execute on accretive opportunities, while remaining disciplined. During the quarter, we successfully acquired 2 landscape service companies that strengthened our footprint, and we remain focused on select high-growth opportunities, including in geographies that presents favorable weather and economic characteristics. Finally, we are making progress in driving operational enhancements across our business. We continue to identify and execute against initiatives to drive meaningful cost reductions, including developing operational best practices for branch-level consistency and corporate efficiency.
 Moving on to Slide 7, we'd like to provide some color on current trends within our industry. For landscape maintenance, we see stable growth and a continued trend toward outsourcing and a focus on firms that offer a comprehensive services solution. We are well positioned to benefit from these trends, given our account manager development, focus on tree, irrigation and fertilization service lines and ongoing drive to address increasing customer demands for high-quality support service. 
 For landscape development, we see consistent growth that tracks with the overall U.S. economy. Working relationships with general contractors continue to be critically important, and customers are looking for solutions, not just this specific service from us. Again, these trends bode well for BrightView as we have proactively established strong and long-term working relationships with general contractors and are best positioned within the industry to provide holistic solutions across all landscaping services. Given the fragmented market, we continue to see a lot of opportunity to further profitably grow and evolve our organization, while enhancing our value proposition as a scale player and acquirer of choice. 
 At this point, I'll turn the call over to John, who will discuss our financial results in greater detail. 
John Feenan: Thank you, Andrew, and good morning to everyone. Beginning on Slide 9, total revenue of $630.3 million was up 0.4% from the third quarter of 2017. Let me go through the puts and takes. First, Maintenance Services total growth of 2.9% included inorganic growth of 3.6%, partially offset by organic growth inclusive of acquired customers of negative 0.7%, which was impacted by managed exits within the land business. Total revenue growth was further offset by a 5.7% decline in Development Services, driven by revenues from certain large projects in the third quarter of 2017. 
 Adjusted EBITDA for the quarter of $97.8 million was relatively flat from the third quarter of 2017. Maintenance Services achieved a 1% increase driven by acquisitions, and Development Services declined 6% due to the previously mentioned large projects in the prior year. Capital expenditures of $27.6 million increased versus the prior year due to the timing of routine annual capital spend. Adjusted free cash flow during the quarter increased by $34.8 million to $19.3 million, driven by stronger cash flow generated from our operations and continued focus on net working capital and specifically accounts receivable. 
 On Slide #10, year-to-date performance saw positive momentum across-the-board. Revenue of $1.8 billion was up 6.8% year-over-year, with Maintenance Services growth of 8.8% due to revenue from acquisitions as well as increased demand for snow removal services earlier in the year. Development Services delivered a 1.5% increase in revenue, driven by stronger project volumes. Year-to-date, adjusted EBITDA grew 15.6% to $215.9 million in addition to the adjusted EBITDA margin increasing 90 basis points to 12.2%. Similarly, Maintenance Services delivered 16% growth on higher revenue and cost efficiencies, including SG&A-related savings. Capital expenditures were down $0.9 million to $50 million for the 9-month period. We will continue to focus on maximizing the use of existing assets, and I personally review and approve all material capital expenditures. Adjusted free cash flow increased $54.2 million to $77.5 million, driven by stronger increased cash flow from operations, which benefited from income growth and the continued focus on improving our net working capital that I mentioned earlier. 
 Turning to Slide 11. Maintenance Services revenue for the third quarter was $474.6 million, up 2.9% year-over-year; adjusted EBITDA was $91.3 million, up 1% year-over-year; and adjusted EBITDA margin was 19.2%, down 40 basis points. Revenue growth was driven by M&A activity during the quarter. Organic growth was down slightly as price, volume and new client wins were offset by strategic exits of unprofitable contracts. Adjusted EBITDA also grew during the quarter as a result of productivity gains in our operations. The adjusted EBITDA margin decline was due to a short-term impact associated with onboarding newer acquisitions and over time due to the H2B labor shortage. 
 During the quarter, we acquired 2 new companies, which met our strong-on-strong strategic and disciplined M&A criteria. Additionally, during the quarter, we expanded our branch leadership training platform, Account Manager 101. This training platform is designed to focus on the voice of the customer to drive customer retention, improve our service delivery model and further distinguish ourselves as a solutions provider. We're also continuing to streamline key productivity tools, such as Electronic Time Capture, which provides us with important data in order to make productivity enhancements. 
 Year-to-date performance for Maintenance Services on Slide 12 was positive across-the-board. Total revenue of $1.34 billion was up 8.8% year-over-year, adjusted EBITDA of $210.2 million was up 16% year-over-year and the adjusted EBITDA margin of 15.7% was up 100 basis points year-over-year. Year-to-date revenue growth was driven by acquisitions and a stronger snow season. Organic growth inclusive of acquired customers was more modest, given the resource shift towards snow removal as well as the strategic decision to exit lower profit contracts. Year-to-date adjusted EBITDA growth was driven by strong revenue growth, coupled with operational and SG&A productivity. Additionally, we absorbed the impact of onboarding more acquisitions and were proactive toward contract exits due to disciplined pricing and profitability requirements. 
 Moving on to Landscape Development Services on Slide 13. Our quarterly performance was down in comparison to the prior year. Revenues of $157.4 million was down 5.7%, adjusted EBITDA of $22 million was down 6% and the adjusted EBITDA margin of 14% was flat. The decline in revenue is due to the winding down of production of certain large projects that reached substantial completion during the quarter. Excluding these projects, growth would have been in the low double digits. 
 On Slide 14, year-to-date performance for Development Services included revenue of $433.6 million, up 1.5%; adjusted EBITDA of $55.3 million, down 6.9%; and adjusted EBITDA margin of 12.8%, down 110 basis points. As expected, we experienced revenue growth in line with expectations. Adjusted EBITDA decline was driven by increased material costs related to certain large projects. As previously noted, the large projects in the prior year provides a tough comparison for these financial metrics. 
 In summary, we get off to a solid start as a public firm. We had record revenue for the quarter. We delivered results in line with expectations. We had a solid cash-generating quarter, and we successfully completed the IPO and delevered the balance sheet. Overall, we are successfully executing on our strategic initiatives and continue to focus on delivering strong financial performance. 
 With that, I'll turn the call back to Andrew. 
Andrew Masterman: Thank you, John. We had a strong third quarter and are increasing our targeted market share by executing on our key strategic initiatives. At the same time, we recognized areas where we can improve to enhance profitability. In summary, on Slide 16, we are excited to be a public company listed on the New York Stock Exchange and look forward to further enhancing value for all of our stakeholders. We remain optimistic and energized by our industry and growth prospects. To date, we are pleased with our progress towards our key growth initiatives, and our Q3 results are in line with our expectations. Overall, we continue to see strong growth opportunities, both organically and inorganically across the industry. In conclusion, we have a strong foundation of proven track record, a clear strategy and a seasoned leadership team with a commitment to drive continued profitable growth. 
 With that, we'll now open the call for your questions. Jamie, I'll turn it back over to you. 
Operator: [Operator Instructions] Your first question comes from George Tong with Goldman Sachs. 
Keen Fai Tong: Your maintenance organic revenue growth this quarter was impacted by intentional customer exits because of price management. Looking ahead, can you talk about where you are in the process of rightsizing customer pricing and if you expect this to be a continued headwind to organic growth? 
Andrew Masterman: Yes. Sure, George. Thanks. Look, we had select customers that we've been negotiating with, talking with and really trying to just reposition within the portfolio. We started this back in kind of January, February, giving adequate notice and talking with those customers, that continues. And if you look at our portfolio, these are contracts, which primarily were made 2 to 3 years ago, that are then now expiring. We anticipate that to continue throughout calendar 2018, probably through the end of the year with knock-on impacts going into beginning of next year into kind of the midyear range. So I would expect that to have some headwind on organic growth over the course of the next 12 months and then those contracts as we look at them will be expiring. 
Keen Fai Tong: Got it. That's helpful. Your realizing margin benefits from efficiency, such as Electronic Time Cards and effective pass-through of wage increases, what are the most likely factors that could cause the pace of margin expansion to either speed up or slow down as you look out over the next 2 to 4 quarters? 
John Feenan: George, this is John. Look, we're going to continue to focus on pricing, right. That's paramount in our structure. If you go back 4 or 5 years, our pricing was probably averaging 50 to 70 bps per annum. Over the last couple of years, we've been averaging somewhere between 1.75% and slightly north of 2%. If I look at it year-to-year through the third quarter, our pricing is at 1.8%. Pricing is going to be one of the main, not the only one, one of the main factors to offset the challenges we face with wage pressure, any normal inflationary things around fuel and that nature. But when you look at our performance, both in the third quarter and year-to-date, we've done, I would say, a reasonably good job of setting those headwinds with pricing and the efficiencies, and we'll continue to leverage our Electronic Time Capture initiative as well as others to continue to make progress. 
Operator: Your next question comes from Andrew Wittmann with Baird. 
Andrew J. Wittmann: I guess we'll pick up with last one you mentioned kind of pricing covering labor inflation. I just wanted to get a sense from you guys, what kind of the trend line that you've been seeing there? You mentioned that you over time due to lack of work visas has been more in the drivers. I'm just curious as to how that -- is that getting harder? Is that getting easier because of your initiatives? How do we look at this as we look on to the future? 
John Feenan: Andrew, it's John. Look, I don't think it's going to get easier, right. If I look at what the wage increases have done over the last 3 years sequentially, for us, and again, it varies by region because we manage the business by region, but on a consolidated basis, we've seen 5.7, 6.1 and 5.1, respectively, of wage increases. That's what we've had to go. We've been able to offset the majority of that through our pricing. But think, when you look at the challenges of the business, I was incredibly impressed with the resilience of the business when we didn't get the H2B that we historically got. We have the business set up to run with or without that. We obviously like that component when it comes in, but we saw a tremendous resiliency when we had a shortage this year. And that's the beauty of having 200-plus branches. When you break it down, we had a shortfall of roughly 2,000 headcount of labor. So 10 to 12 a branch, it's manageable. And that's how I would classify it. It's a manageable challenge. 
Andrew Masterman: One thing I'd like to add is, being out in the regions and recently as earlier this week, one thing we are seeing out there is -- and this is over several different regions, there is an increasing trend of seeing more employees coming back or people who left the company, potentially for that potential or perceived better deal somewhere else, basically go somewhere and look back at BrightView and what's at BrightView, and this is the Gartner level. Our folks who kind of see what we have, which is an incredible attention to safety, strong focus on treating everybody really as a valued partner in this while enterprise and making sure that they come to work in an environment where we are 100% e-verified and focused on that. 
Andrew J. Wittmann: Sounds good. John, one follow-up. And just see if you could quantify the level of managed exits in the quarter? 
John Feenan: Yes, of course, Andrew. Look, it was around -- I don't want to get specific because it's going to move around. And look, we didn't have a lot in Q1 and Q2. It really started to initiate in Q3. I would answer it that, we had a significant amount somewhere between $5 million and $10 million, and we could see that again going forward. We're in the early stages of this, and we've been very clear on that. This is addition by subtraction is how we look at it, this pruning, that's how I would quantify it. 
Andrew J. Wittmann: Yes.  That's actually very helpful to give us some context around that. And then, Andrew, just final -- last question on this and then I'll yield the floor here. But I'm just curious on the M&A pipeline, was there anything that you've closed subsequent to the quarter that we should know about or maybe things that are close that we should be considering? 
Andrew Masterman: Yes, the pipeline remains quite robust. And, as you know, M&A is not a -- at a size. Actually, these deals come in ebbs and flows. And so I'd say, it's actually quite healthy right now. There is probably anywhere -- if you look at what we said before, we looked at 50 to 70 companies to come up with the 8 or 9 acquisitions that we completed within 18 months. I'd have to say, over the last 2 months, I probably visited another 20 -- 15 to 20, and they are right now between 5 to 7 different stages of the pipeline right now. 
John Feenan: Yes, I mean, Andrew, this is John. I would just add one other interesting note. Andrew and I are getting more inbound, call it, inquiries that are coming over the transom, that has tended to build, I would say, over the last 3 to 4 months. We're getting a lot more inquiries on, "Hey, we have this firm, you guys should take a look," that's encouraging. 
Operator: Your next question comes from Tim Mulrooney with William Blair. 
Timothy Mulrooney: You guys touched on labor and fuel costs, but I'm also curious about your material costs. One of your suppliers recently highlighted some incremental cost pressure that they've been seeing in the May, June time frame. Are you seeing a step up there as well? Or do you anticipate one in the second half of the year? 
Andrew Masterman: No, I think we've managed that. Our procurement group -- team does an excellent job. We have great relationships with our vendors and suppliers. Yes, we've seen attempts at some pricing pressure, sure, but at the end of the day, we're able to pass through the majority of any increases we're seeing, but for the most part, these are long-term relationships where we have things locked in place. So we're not subject to the quarterly inflationary things that maybe other firms could see in the service area. 
Timothy Mulrooney: Okay. That's really helpful. I'm just going to pivot to M&A for a second. You guys recently completed The Groundskeeper acquisition, I guess, maybe that was in May. How long does it take for you guys to integrate an acquisition of this size? I'm just trying to give a sense for are you still integrating that? Will that keep you on the sidelines for a few months? Are you still actively working on more deals this year? Any color around that? 
Andrew Masterman: Sure. Yes, and we -- you're right, that was a large acquisition. I mean, 9 branches across multiple states and that's going to take us probably about, I'd have to say, 6 to 9 months before we are quite a bit through the integration. And a lot of that is because whenever you make an acquisition, look, we're buying customer relationships, we're buying crews, and we walk very carefully to make sure that those relationships are preserved as we integrate them within the BrightView family. We do have several dedicated integration teams now. They're focusing on these acquisitions. One team might be working, let's say, in Connecticut, another team would be working on Groundskeeper. So we have the ability to do multiple regions of acquisitions. And that being said, we are actively looking at several opportunities, which we would expect another deal to come around sometime in the next 3- to 6-month period, absolutely. As we communicated out, our target is to do roughly a deal a quarter, do the big deals in Q3, and we would expect another one to come in the Q4, Q1, at least. 
Timothy Mulrooney: Okay. Great. That's great color, Andrew. Maybe just one more on this, just on your overall M&A strategy. Are you guys focused on building out more into new markets? Or is your strategy now kind of focused on building up density within your existing markets? 
Andrew Masterman: Yes, great question. In general, we're looking at going into expanding the density where we're at. It's the strong-on-strong strategy that we have. It looks at strong markets we operate in and expanding our base within those strong markets. That being said, there are several markets, where we are selective and targeted that we will be looking at those acquisitions and that we do 1 or 2 medium- to smaller-sized acquisitions in those markets to expand breadth, but by and large, we're looking at density. 
Operator: Your next question comes from Judah Sokel with JP Morgan. 
Judah Sokel: Most of the focus today has been so far on the maintenance side, including M&A. I was wondering if you could just touch on development. I think you mentioned low double-digit growth if you exclude kind of large projects sort of with Apple headquarter installations. So maybe you could just talk a little bit about what's going on in development to really strong growth? Is that the kind of trend that you'd expect going forward? 
Andrew Masterman: Yes. Judah, the pipeline remains robust within development, and we feel real confident about where we're at right now and kind of the trajectory that we've communicated. There are several new projects going in various parts. We have several large developments in Florida, several new things popping on the screen in California. And we're actually quite confident as we look out into fiscal '19 of what we see coming up. There are -- however, we do want to say, we are being careful about these very large projects, the kind that we just completed in California that where we're trying to keep our projects into a more modest size. And when I say modest, maintaining that kind of million-dollar project average right across and 1 in 10. So that's -- when you look at development, we remain committed, optimistic, and we don't see any signals of anything slowing down in that side of the business. 
Judah Sokel: Got it. One other question, maybe you could just remind us during the IPO roadshow, you talked about your target for deleveraging. Can you maybe just remind us what those targets are? And then to the extent that free cash flow is greater than what you would've -- what you've been expecting? What would you do with that excess free cash flow? Would it be used towards additional M&A on top of, maybe, your prior expectations? Or would you use it to delever faster perhaps your investment? Maybe, you can just talk about that? 
Andrew Masterman: Yes, good question, Judah. Look, I think the expectations, look, we took the company currently roughly 4x. We're very cognizant of being a public company and getting that leverage closer to 3. We're going to have a balanced approach with our cash generation between really just 2 things, deleveraging and getting it close to the 3 and then prudent accretive transactions. We'll look at a tradeoff of both. We're not going to get highly levered again. So we'll be very cautious there. But I would say, the objective is to get it down into the low 3s with the balanced approach of, if we see a really good deal like The Groundskeeper, that's a little bit bigger, where it may push our leverage up for a quarter or 2. We'll probably still do that because of the attractiveness of that return. But those are the 2 -- all of the big capital projects and infrastructure-related spend is behind us, as we articulate on the roadshow, just the normal typical CapEx spend. So assume that will stay at roughly 2.5%, maybe 2.7% of sales, that's about it. But any big corporate-wide spend is already behind us around rebranding, getting on one system, things of that nature. So those will be the 2 focus areas, Judah. 
Judah Sokel: Got it. And when did you plan or hope to hit this 3-ish times leverage target? 
Andrew Masterman: I would say, within -- look, we'd like to get there in the next 12 to 18 months, if not sooner. 
Operator: Your next question comes from Deane Dray with RBC Capital Markets. 
Deane Dray: Congrats on the IPO and your first earnings report. 
Andrew Masterman: Thank you, Deane. 
John Feenan: Thanks, Deane. 
Deane Dray: Just to circle back on the pruning of the unprofitable customers, and I like the landscaping on there, but the idea here is, how are you singling out these accounts? And were they not priced appropriately or does it -- they're inefficient on your route density? And then related is, what's the benefit here? I know, it's pretty obvious, but are you going to get a margin lift? Is it a better deployment of resources? Might some of these customers actually come back to you at a more attractive price? So just kind of take us through the sequencing of this. How you decide and then the sequencing and the benefit in the next quarter or so? 
Andrew Masterman: Yes, it's a great question. And look, what it was is, these were primarily projects which were priced centrally without a whole bunch of engagement with the field and larger -- and there tend to be larger deals. That we come back after several years, after deploying our tools, getting them as efficient as possible. And basically said, we just can't -- we can't get to provide the service level that we believe we need to deliver, and that we're contracted to do the pricing right there. So it's a process of discussion. It's not just throwing out an increase and saying take it or leave it. It's kind of discussion with the customer, the scope we provide as well as the reality of the labor situation we face. It's a discussion, these things take a couple months that we're in discussion with many of these customers. And some decide that they're going to test the water somewhere else because they've been accustomed to these lower levels of spend. And frankly, exactly as you said, already several conversations have ensued, which were for those contracts we exited in the April. Sitting here in August we've had discussions about people potentially coming back, even though they tested the waters and haven't had quite the experience they have with our company. In fact, what was unpredictable about some of this, I can tell you as recently as last week, there is a customer with that contract is coming up, we're going to need to give them a pretty significant price increase. We weren't sure they're on the target list, they're part of the discussion, again, it's a multi-month process of discussion. And actually, that's on the positive side. We might have initially put them or we did initially put them in the risk bucket. We actually believe we're going to be able to retain them with the proper pricing. So it's a account by account examining where we're at and looking when the expiration of those contracts occurs. And we believe we'll be done with that again in the next 12 months as we look at them when those contracts actually expire. 
Deane Dray: Got it. And then on free cash flow conversion, do you talk about what your target level should be versus net income? And then maybe also the idea of seasonality of your cash flow, just so we have a sense of how that gets, the cadence of cash flow through the year. 
John Feenan: Yes, Dean, this is John. Look, historically, the company had a free cash flow conversion ratio in the high 60s, low 70s. We strive to be 80%-plus. We were there last year. There is some movement during the quarters. I think, year-to-date, we're in the very high 70s, 78%. We're defining that as our EBITDA, less CapEx divided by our EBITDA. It's a real simple calculation. And I think -- look, our goal is to be 80% plus year in, year out. As far as the seasonality, our fiscal Q1 is our strongest cash generation quarter and that's driven by the build in the business during the summer and early fall months when you have relatively strong business. June, July, August, September, and then we start collecting that money October, November. So from a seasonality standpoint, that's kind of the strongest quarter from a cash generation. And look, the second and third quarter, we're a user. And look, I'm pleased with our results in the third quarter. It was really mainly around accounts receivable and that's been a big focus for the organization. And to be candid, we still have more work to do. 
Deane Dray: Just last question, and just specifically on accounts receivable. What are you doing differently? And do you have a metric as a percent of sales that you're trying to work down to? 
John Feenan: Yes, I mean, look, we've got all kinds of metrics that we have on our receivables. This is correcting some historical bad habits, to be blunt. When we had centralized decision-making that Andrew referred to in some of these contracts, there wasn't the rigor and discipline on the cash conversion cycle of getting paid prudently. We've brought that rigor and discipline in. It takes time. It doesn't happen overnight. And we manage it, quite frankly, very discreetly at a branch by branch basis. So the branch manager is accountable of a DSO calculation based on the terms in the contracts through that branch. So it's managed very discretely, and we manage that accordingly. 
Operator: Your next question comes from Hamzah Mazari with Macquarie Capital. 
Hamzah Mazari: The first question is, just around retention rates, maybe if you could just give some color where that's trending? I realize you're cycling through sort of low margin business, but longer term, where do you think retention rates can structurally get to? 
Andrew Masterman: Yes, Hamzah. Look, we typically have been in the past in the mid-80s in the 85%-or-so retention rate. We're trending slightly above that right now even though we are putting ourselves some of these slower market accounts, and we believe that as that cascades over the course of next year, probably more 2 years kind of range, we'll be able to get that up into the more in the higher 80s, internal targets that are higher than that. But I believe kind of getting that significantly up a couple of percentage points. And we'll have a really strong impact on the company, and it's achievable. 
Hamzah Mazari: Great. And then just second question. I know you talked about sort of the strong-on-strong M&A strategy and synergies there and that's pretty compelling. But big picture, what's the value of being a national landscaping company? Is it on the procurement side? You don't have a lot of national account business, so just curious if you could sort of address that as well. 
Andrew Masterman: Yes. Yes, sure. I mean look, procurement is kind of naturally what you could expect out of some of the underlying synergies, but the reality is also on our recruitment standpoint of being able to provide a specific career ladder and career development for our account managers who can become associate branch managers into branch managers into general managers all the way up into Vice President and Senior Vice President for the company with expanding responsibilities, scope and leadership development. It's a significant development of what we provide. In addition, being a large company across-the-board allows us to develop skills and expertise in horticulture, in tree irrigation, fertilization and have a backup. So that when a customer comes and works with us, they're working with a company that when there are sophisticated irrigation or landscaping maintenance situation to give out there. By dealing with our company, we have backup network of people who can absolutely come in regardless of the situation of that company. When you have smaller competitors out there, they may have 1  or 2 experts, perhaps 3 or 4, but don't have the kind of network we have. And maybe see that as evidenced just in some of the disaster responses that we have by being able to harness hundreds of trucks to be able to go and attract and come in and help out areas where they're affected by some of [indiscernible]. 
Operator: Your next question comes from Susan Maklari with Crédit Suisse. 
Susan Maklari: My first question is just around your incremental EBITDA margin. It came down pretty significantly this quarter. Can you just talk to maybe what the factors were in that? And how we should be thinking about the cadence going forward? Is there any sort of range that you tend to try and target with that? 
John Feenan: Yes, I think -- look, Susan, this is John. I think, look, you have to look at it in 2 components. You have to look at it within the Maintenance business and you have to look at it within the Development business. Look, in the -- I'll touch on Development first. Where we play in the development business, we do quite well. Anytime, your -- when you think of other installation, specialty installation companies, the fact that we're in the 12% to 15% EBITDA range, we feel quite good about that and we expect that to continue. On the Maintenance business, one of the headwinds that we talked about in our comments is this was the quarter where we had the largest amount of acquisitions come in. When you look at 60 or 70 or 80 companies, which is essentially what we've looked at, a well-run company in our industry is doing about 8% to 10% EBITDA margin, right. We've looked at enough to know, we're running significantly ahead of that. And so when we brought those companies in, they're not running at 14%, 15%, 16% EBITDA margins. Our maintenance business, I think, had a great quarter at 19%-plus. And that's the nature of the business. This is one of the stronger quarters, obviously, for the business. But I think the headwinds that we experience were really twofold. One, with the acquisitions that I just talked about coming in at lower margin versus before we get a chance to fix them. And then in my earlier comments, I think we did a reasonably -- a very good job, quite frankly, managing any of the wage inflation and inflation around any of our cost of goods items through our pricing. And so when I look at our margin of where it is, pretty comfortable there, quite frankly. 
Susan Maklari: Okay. That's very helpful. And then in your commentary, you talked about some of the teams you've put in place in terms of business development and retaining, recruiting new customers. Can you maybe just talk to some of the efforts there? Are there any more recent wins or anything like that you can share with us? 
Andrew Masterman: Yes, I've to tell you there are wins going on every single day. And when you have 125% development team, we were tracking where our goals are for the year. And as you see,  where when we -- overall minus out those selected strategic exits keeping ahead of retention. And so as you look at that, those wins whether -- we don't publicly disclose all the specific ones that we have, but there's some really -- some strong accounts out there that we win. But when it comes down to it, it isn't those -- necessarily those large familiar accounts. It's the ones that really value customers out there that they come in at $50,000 a year that really provide the basis for so much of what we do that are happening every single day. And it's not only that 125-person development team, it's also the 750 account managers that we're seeing, managing the price and managing the scope. And reality is also that we see selected accounts where we see good scope increases as well as we go into the next calendar year. So we feel good about that, and we feel as we said several times where those are going to offset by some of these strategic exits. 
Operator: Your next question comes from [indiscernible] with Crédit Suisse. 
Andrew Masterman: Jamie, I think he was with Susan, they're both from Crédit Suisse. 
Operator: And your next question comes from [ Gregory White with Baring ]. 
Unknown Analyst: I just had a quick clarification question on CapEx. I know you mentioned in Slide 10 that you intend to maintain a 2.5% net CapEx as percent of revenues going forward. And I know that in -- looks like in recent quarters prior to 3Q '18, you guys had managed to dip to that level or possibly even lower, but it looks like your CapEx as percent of sales is maybe 4% in the third quarter of '18. So I was just wondering if you can kind of talk a little bit about what's going on there whether that's just a timing effect. And then you could explain that a little bit better? 
John Feenan: Yes, sure, Greg. This is John. Two things. One, it's mainly timing because if I look at it on a year-to-date basis, we're essentially $1 million below where we were. And included in that capital expenditures from the fourth quarter -- excuse me, from the first quarter of this year, we had a onetime purchase of properties from a legacy owner. That was about $20 million. So when you factor that out, which we called out in the charts, we are about $1 million under on a year-to-date basis. So quite confident, it's just a matter of timing during the third quarter where we had an influx and Q2 was quite low. 
Unknown Analyst: Okay, great. So generally speaking, I mean, do you think, just from a seasonal perspective, that this would be representative of a typical third quarter CapEx as a percent of sales? I understand there'll be intra-quarter fluctuation. I just want to kind of get an idea for the seasonality of cash flow within the quarter? 
John Feenan: Yes, I think -- look, the way to think about it and we've been really clear on this is, we manage this really aggressively. The 2 divisional presidents do a great job in getting the data to Andrew and myself. We've been very clear that we expect to spend somewhere between 2.5% to 3% of sales in CapEx on an ongoing basis, which is better performance than what the company was historically doing, if you go back 3, 4 years. So somewhere in that $55 million to $60 million range is what we expect to spend, and we're at $50 million through 3 quarters, so essentially on track. 
Andrew Masterman: And given Q3 as being the busy quarter, yes, you're going to see those variations happening within Q3. 
John Feenan: Timing. 
Andrew Masterman: Because of the timing of the April, May, June quarter, the busiest time, new trucks are coming in, season starts. So if there's going to be any kind of variance, it will happen on this quarter. 
Operator: There are no further questions at this time. I will turn the call back over to the presenters for closing remarks. 
Andrew Masterman: Okay. Thank you, Jamie. Once again, I want to thank everyone for participating in the call today and for your interest in BrightView. If you have any follow-up questions, please don't hesitate to reach out to us. We look forward to speaking with you when we report our fourth quarter and full fiscal year 2018 results and discuss our thoughts on fiscal 2019. Thanks so much. 
Operator: This concludes today's conference call. You may now disconnect.